Operator: Thank you for standing by, and welcome to the Regis Resources December Quarterly Report Investor Call. All participants are in a listen-only mode. There will be a presentation followed by a question-and answer-session. [Operator Instructions] I would now like to hand the conference over to Mr. Jim Beyer, Managing Director and Chief Executive Officer. Please go ahead.
Jim Beyer: Thanks, Melanie. Good morning everybody. Thanks for joining us. I’d also like to introduce Elena Macrides, our Co Sec. is on the call and also Jon Latto, our CFO. Look, thanks for joining us for the December 2020 quarterly update. I do note that the quarterly was released earlier this morning, and I will on occasions make some reference to some of the diagrams. I'm very pleased to report our key safety metric continues to improve, as we saw our 12-month moving lost time injury frequency rate, our LTI has seen a further reduction of 23% over the last quarter as we dropped to 2.4% down from 3.1%. We still feel we've got a lot of work to do there, but it's very pleased to see that that trend continuing down. And we will continue to focus on leadership, and its role -- and the role that luck plays in improving safety. I have no real material update on COVID, and our approach has not really altered over the quarter. Like many now, I think we await the details of the vaccine, and how this will be implemented and rolled out across business, and of course broader society. To date, we had no confirmed cases of COVID-19, and the impact to our operations and to the business have been controlled and well managed by the team, albeit with a marginal impact on the cost. And I'd like to take the opportunity to thank our employees, contractors all families for continuing to deliver while at times, enduring some rather trying conditions. On production, our sales was in line with our expectations and guidance. The December quarter saw a marked lift in gold production with 91,000 -- approximately 91,400 ounces produced, which is well-up on the prior quarter of 81,600. Moolart Well operations lifted around 23,000 ounces, up nearly 3000, driven by a number of factors, four times mills were up, improved grade fees was up and recoveries were improved as well, delivering that overall better job performance. Production from Rosemont was down slightly at 22,500 ounces thereabouts, down about 2.5% on the prior quarter. And while the contribution from the underground continues to lift, the grades from mine pit were cycled down for a bit during the quarter and this was really holding Rosemont -- holding back Rosemont’s overall performance. Grades from the underground have continued to live and as the benefits of knowledge gained from recent scoping, along with more diamond drilling for grade control, and are updating our practices. We're improving our confidence in the predictability of this new mine. As noted last quarter, the priority was to develop into the high grade main zone reserves and commence production from there. We reached main during -- we reached the main zone or adjacent to it in December, we've undertaken extensive grade control drilling to confirm the information and finalize -- complete final design and confirm our confidence, and we're now back developing cross cuts in preparation to enter into the main zone. We expect production to start to be contributing towards the back end of this quarter. At Garden Well, production was a stronger 45,600 ounces, a step up from the 379.9 of the prior quarter and key factors lifting Garden Well, improved grades and improved recoveries. The improved quarter brings us in line with our previous guidance that the first half would be consistent with the annualized rate of last year, and stronger production weightings to the second half of this financial year. Our full year guidance remains 355,000 to 380,000 ounces for the year, with an all-in sustaining costs of AUD 1,230 to AUD 1,300 an ounce. Looking at our revenue, we saw an increase in the quarterly sales, up to 112,000 -- just over 112,000 ounces at an average gold price of AUD 2,351 an ounce, giving us a total revenue of 263 million. Now as previously reported, the company is undertaking a program to reduce its long held spot deferred hedge position, and has been delivering at a rate of around about 20,000 ounces a quarter into the lowest price hedges over the last 12 months or so. This current hedging disposal strategy has impacted on the prior quarter on the December quarter of our gross revenue by around about 8%, so it's not about 8% off the top of our gross revenue. Duketon cash costs before royalties reduced for the quarter to $1,025 an ounce down from $1,072. And this overall decrease has been primarily driven by an increase -- by the increase in production. Our all-in sustaining costs for the quarter were down 6% to $1,317 an ounce, both Moolart and Garden Well enjoyed reductions, driven primarily by the increased production levels in both of those mines. Rosemont’s all-in sustaining was up at $1,792, increasing, due to the lower production from main pit. As I mentioned before the lower grades, and also due to stockpile drawdowns. Capital growth for the December quarter was $22 million, which was primarily related to mine development at Moolart, Bendigo [ph], Dogbolter-Coopers, and some Rosemont underground. So in summary, our operation cash flow -- our cash flow from the operations was $100 million, with then major deductions being for about $30 million for capitalized mining costs, $2.8 million for exploration and feasibility projects that includes McPhillamys. And another $5.5 million for minor capital items, plus corporate costs. We then saw some significant cash outs were really non-operation on related cash flows. $34.3 million was paid in the cash dividend. We did declare a dividend of around $41 million. We paid a number of shareholders elected to participate in the fee and dividend reinvestment plan and reinvested around about $7 million. So ultimately our cash payout was less than the declared, it was around 31 -- $34.3 million in cash dividends, so that came out of the cash generated for the quarter, which, by the way, brings our dividend payments now to just under $0.5 billion, $488 million. The additional cash out item from the -- during the quarter was our income tax payment, which was considerably higher than normal at 21.8 -- sorry, $22.1 million. Now this included an extra $9 million of true-up. So in our tax, we pay a provisional rate as the year progresses, and then after the year ends, we do a true-up, and then we either get some money back or we have to pay some more to match what the actual tax was. And we got a bill for an additional $9 million, which we paid last quarter. So that was really an abnormal component of the tax payment. Now as a result of this, our cash balance just dropped by slightly, just a little bit less than $5 million, and it's sitting at around about $220 million, which I think is a pretty good outcome considering we paid out effectively $34 million in dividends and also that one-off tax true-up of around $9 million. On our value growth projects. During the December quarter, the Regis Board approved the development of a new underground mine that will sit underneath the Garden Well open pit, that mine being Garden Well South, and that's shown in figure two in the release. This new project has a feasibility study estimate for the total material mine of 1.85 million tonnes at 3.2 grams per tonne of gold for around about 190,000 ounces. Included in that is a probable ore reserve that's dropped – compliance dropped – 2012 compliance of 900,000 tonnes at 3.4 grams a tonne for 98,000 ounces. And I would also note, as you see in that diagram that is open at depth. It's like Rosemont, the mineralization continues. We just haven't drilled it to any degree of confidence, but we know that the mineralization continues, which is very exciting. This new mine will cost an initial preproduction CapEx of around $38 million, and it will have a life-of-mine average all-in sustaining cost of between AUD 950 and AUD 1,050 an ounce, certainly a nice addition to our stable of production sources. So while I'm on Garden Well, I just draw your attention to figure six, where there's an area to the north of the Garden Well underground that's just been approved, where we've identified further potential, and we're doing work there. You can see the target area marked out in that diagram of the area that we're chasing there at the north end of the pit. We've done some more exploration drilling, and we continue to look for this potential additional underground development. But some of the recent highlighted drillings of 4.3 meters at 13.9 grams a tonne, 0.3 meters at 113 grams a tonne, 1.7 meters at 10.1 grams a tonne. Obviously, this area is looking attractive, and should this shape up, it will be a very valuable addition to the Garden Well South underground opportunity as well. Looking to Ben Hur, the next growth value project. We really like it. Its current mineral resource is 5.8 million tonnes, 1.6 grams per tonne for 290,000 ounces, and importantly, we believe it has the potential to grow beyond this. This deposit, it's about 30, 000 south of Garden Well. It's an ideal source expected to provide valuable oxide open-pit material with – as I mentioned, with growth potential. We have been undertaking drilling, both confirmatory, that is within the resource of the known resource envelope and also outside. The internal confirmatory drilling has been consistent with our expectations, which is good. What is pleasing is that we did hit some significant high-grade intercepts outside the existing resource shell, including 3 meters at 24.5, 9 meters of grams a tonne; 9 meters at 6.1 grams a tonne; 34 meters at 2.9; and 9 meters at 9.6.  And if you – to give you a little bit more of a picture of what I'm trying to explain, if you look at Figure 4, that's a typical section, just showing where these intercepts lie outside the original – the currently defined resource shape. So we think this has got great potential, both down dip or down plunge, but also along strike. We continue to see this as an ideal, strategic acquisition that's got the potential to add valuable life extensions beyond our current estimates. At McPhillamys, momentum continues to gather. The assessment phase of the development application is now hopefully heading to conclusion by the department of – the work being done by the Department of Planning Industry & Environment, DPI. As I noted at the end of October, their assessment is expected or at that stage to take about 3 to 4 month process. And then their recommendation on the project would go to the Independent Planning Commission, the IPC, for a final decision. This final stage involves the IPC reviewing the project, including, amongst a number of things, public hearings and ultimately, they make a final decision. And we think this could be as quick as 3 to 4 months. But I don't want to get too far ahead of myself, but it's ultimate – and really, it's ultimately the final decision that comes from the government process is still to be made. But while the process is still underway, we are hoping that our final decision on the DA, on the Development Application, could be made in the first half of this year. In the meantime, we're not sitting idle waiting. The project execution team is continuing to progress its detailed design phase, continue to progress into the detailed design phase in all areas including; mining, processing, infrastructure, water, water supply and power supply and water management around the site. As the project has continued to progress through the approvals process, we've been updating the scope with any material changes that have been required since the PFS, and I have discussed this in the past. And with this, we've also been working on updating the project costs. So what we see is that, on receiving a positive IPC approval, Regis would then expect to finalize any outstanding scope changes and modifications that have been required and the costings associated with that as soon as practical thereafter and then provide this feasibility study summary to the market. In summary, at McPhillamys works are underway to ensure that in the event of a favorable decision from the IPC in the first half of 2021, the project will be as ready for Final Investment Decision, FID, and is shovel-ready as practical. I'll now turn comments to our organic growth opportunities in exploration. I've already mentioned the building excitement that we've got around the Garden Well North area, so I won't redo that. At Rosemont Underground, where we've been doing deep drilling over the last number of quarters, been testing for potential down plunge of the existing mine limits. This target area is now being confirmed. And what I can say is that we now form part. We now have said that part of our underground plans and schedules, we need to form part of our underground planning or including our underground planning in terms of the additional development for drilling access that's required and other scheduling provisions that need to ensure that this deeper diamond drilling can be done, and that's ensuring things like power, water, vents, services are all available for that drilling in addition to requirements for production. So, we are excited about that. But the real interesting piece around Rosemont at the moment is the -- some recent intercepts that we've seen at the very south end that supports mineral -- the potential for mineralization. If you look at Figure 7, you can see the area that I'm talking about. It's at the very -- it's on the left-hand side of the south end -- south of the existing development. We've had some pretty impressive intercepts there, 0.4 meters at 26 grams, 2.4 meters at 5.9, a meter at 10.6 and 2.7 meters at 38.3 grams a tonne. Now, these results are clearly interesting and points to potential underneath that area that were previously not investigated. And we'll be -- obviously, we'll be following that up over the coming months. It's not too far away from our existing design area of mining that we can just continue to punch into. At Gloster, it's still continuing to build. We continue to get some really exciting results there, five meters at 4.7, three meters at 25.7. I won't go through all of them. That is a really interesting area. It is complex. As I've mentioned before. I reckon this is a bit of a dark horse. We are persisting with this. We need -- there's clearly mineralization there. We've got to work out how this comes together structurally. On the broader exploration front, look, our highest priority targets are along the recent well trends. They continue to be tested. We continue to get very interesting results. We're very enthusiastic about that area, but also we're pragmatic and realize that this is a longer game. As we come -- as we do start to uncover more material discoveries, we'll keep you updated. In summary, the December quarter was very pleasing on the safety front, but obviously, still more to do. A real pickup in performance from our operations for the quarter, and this has flowed through onto our unit costs. Rosemont Underground, lifting in production and building and contributing to our planned growth and on the verge of accessing the higher-grade main zone. The addition of Garden Well South Underground project to the production stable and clear potential for more at depth and also this new area underneath the northern end of the pit, where progress continues to be made in the formal approvals process for McPhillamys, and we are increasing our proprietary work for the construction phase of that project. Ben Hur is certainly proving to have been a good investment with clear potential increasing our resource there and a range of exciting results coming through our exploration. So, a good operating performance for December and a period where we've continued to deliver on our plans for value growth. So, what I'd like to do now is hand it back to Melanie, and happy to answer any questions that anyone might have. Thanks Melanie.
Operator: Thank you. [Operator Instructions] Your first question comes from Al Harvey from JPMorgan. Please go ahead.
Al Harvey: Good morning, Jim.
Jim Beyer: Good morning.
Al Harvey: How are you doing? Just rehash, can you -- are you able to just rehash the final timeline for the IPC process? So you're, kind of, expecting the DPIE to send it on to the IPC in the next two to three months. Is that correct? And then it's a 12-week timeframe after that. Is there any potential for that 12-week timeframe for the IPC to extend out further, or like what's the upper bounds of that time frame?
Jim Beyer: Yeah. Good question. So at the moment, the application and all of the information we put in our reply to submissions last year. DPIE, Department of Planning Infrastructure and Environment, came back to us with some clarifying questions, which these things take a while to answer, which we provided all in the back end of last year. Now they -- the indication is that that would be in three to four months. Now, that could be another -- at least another month or so before we hear their recommendation. Now, once they make their recommendation, and they're really -- there's -- we don't want that rushed. At the end of the day, we want that done with -- we understand that the idea is to make sure that the -- what conclusions and what recommendations they make are as, I guess, as -- there's no outstanding questions. So we believe that we've done what we've -- everything that we've needed to, but they're still assessing that. They may come back with some more questions. But we really anticipate that we're in the closing stages of that. Now once they make their recommendation, and they might -- they draw their conclusion and they make their views formally known, that will then go to the IPC. Now the Minister has indicated that he expects that the IPC works to a 12-week timeframe to make that assessment and their evaluation and their decision. But the IPC can certainly seek an extension on that time -- outline -- from the department. And presumably, there's got to be some reasons for that, and it might be that they need some more information or the like. So it's not a hard 12 weeks. I think when we look at some of the other approvals that they've done, they've sought another four weeks to be added and instead of taking 12 weeks, they've taken 14. So we anticipate that that could be the case if there's anything complicated or they need a little bit more time. In the end, it's not -- certainly not something that we control. But it is something that -- it's very clear that the New South Wales government is working hard to ensure that it's done as quickly as practical without being seen to compromise the process.
Al Harvey: Right. And just over to Ben Hur, do you guys have a timing for the studies and the reserve uptake? And also, how are you guys thinking about the ranking of Ben Hur when you've got underground opportunities showing up with Garden Well and any other satellite deposits in the region?
Jim Beyer: Yeah. Look, the timing on that is we're working hard at the moment to look to try and ensure that we can update -- when we put out our updated resource and reserves that any -- whatever conclusions we come to on Ben Hur will be, pardon me, included in that. So that's in a few months' time. If we get something earlier, then we'll probably update the market straight away, because that's quite a -- that's a stand-alone type of piece of information that would be good news. The timing on how that would be incorporated, obviously, the grades are pretty reasonable grade there. We would then be looking at trying to establish when we would -- when is the best time to incorporate that into our plans. We're still working on that at the moment. I think it would be safe to say, it wouldn't be next week, but also it's not going to be years out. So we're just working on that at the moment. The first thing we want to do is just understand a little bit more about how big it might be, if and how much bigger we currently think it is that it will be, so that we don't -- I don't know, put some material down on -- put waste down on where there might be an extension and all those sorts of things. In terms of where it sits with the underground, I mean Ben Hur is interesting. It actually has a bit of underground potential as well, although we've sort of worked that one down and said, let's focus on understanding its full surface potential first. Where that would sit with other underground projects, they're not serial. They're parallel. We tend to view our underground operations and our projects as being relatively low tonnes, high grade, and you use that to displace the lowest-grade open-pit material you might be putting in. So our plans always work on having a fair chunk of the mill feed coming from open pits and the cream sort of coming in on top, coming from the underground. So I wouldn't anticipate that Ben Hur would be coming online and displacing any planned underground material. I hope that answers the question.
Al Harvey: Yes. Thanks. Thanks, Jim and if I can just sneak one more in. Regarding your underground, is there any expectations of interruptions to the open pit while you're developing the underground there?
Jim Beyer: No.
Al Harvey: Great. Thanks, Jim. That’s all from me.
Jim Beyer: No worries. Thanks, Al.
Operator: Thank you. Your next question comes from David Coates from Bell Potter Securities. Please go ahead.
David Coates: Thank you. Good morning, Jim. Good morning, Jon. Good morning and nice look on the improved quarter. You must be pleased with that. Just a couple of quick questions, I hope. You've given us a bit of indication on McPhillamys' CapEx. Any further updates on that this quarter?
Jim Beyer: No. Look, we continue to say, I think the guidance -- the upper limit of the historic guidance for the PFS was around $270 million or so with -- and that was for a very basic plant back that was -- what was thought was going to be required back in the day. Whatever it's been now four years later, I think a lot of work, we recognize that, for example, there's a whole swathe of water management, dams, pipes, pumping reticulation systems that are required on sites that was really not provided for and a whole series of other elements of the pipeline costs and these sorts of things. So we certainly expect the numbers to be well and truly – well and truly way above the range of the previous estimate. And I think I've indicated, while we're still working on it, sort of certainly easily mid- to high 300s is an area where we think it's far more likely to land. But we're – to be quite honest, we're just trying to – it's a bit of a moving piece because we do – we do our work on something, and then we get a little bit more information, a bit more guidance that we need to do something different to comply with, with – be it water management or be it noise management, even though even noise management involves additional costs because you've got to move the plant around and try and cut it back into the hills to keep noise and dust. You've got to put covers over stockpiles, all these sorts of things. So there's a lot of things driving it. But what we can say is that it is still a very solid project. It's a 2 million ounce deposit. It's got discovery rig potential down the road. We still really like it. It might be – it's certainly going to be a bit more expensive to build than anticipated four, five, six years ago when first estimates were there, but it is still a great project for us to have in the portfolio. And as soon as we're in a position, and we've got some confidence that the ground is starting to firm up, we will then, as we've said, come out with a feasibility study and inform the market on a lot more detail on how – where that number has moved to and what some of the key drivers have been to get it there.
Q – David Coates: Thanks and I appreciate that's a work in progress. Other question just around – back to Duketon. How are you going – can you give some more color or detail on getting access back to high grades with Erlistoun? And can you give us any indication of the grades that are coming out of Rosemont Underground?
Jim Beyer: Yes. So we – I think the Erlistoun, which was an issue for us, it had impact on last quarter. We worked our way through. Garden Well, I think, is still – we've had some more geotech movements there, not to the extent where it's caused us problems this year, but we're still evaluating it and trying to work through how we can make sure that we get our timing and our schedule right out of Garden Well. The other pits are all looking reasonably good. I mean, Rosemont Mine really hasn't got too much to run. But the rest are looking quite a bit more quite reliable. As I said, the main one we're working on is Garden Well, just making sure that we don't over rely on areas where, historically, the geotech assumptions have been reasonably aggressive, and they're sort of coming back to make sure – we're working to make sure they don't bite us. The underground, I'm just – I think our grade list in the prior quarter was around 1.7, 1.8, and it lifted up to a bit over 2, 2.1 in that area. So we're seeing – and we haven't entered the main zone yet, and that's where we're anticipating we'll see a step in the grade. I mean Rosemont Underground will be a significant – anticipated to be a significant contributor to us delivering on this higher production rate in the second half of the year. And we're just heading into that zone now. It's like always – just seems to be the nature of the beast. The high grade that really brings you home with a wet sale is just that it brings you home with a wet sale in the last quarter or so. You just want to make sure that you don't get something like -- it means that if you're out by a couple of weeks, it can have an impact. But right now, we're very -- we're pleased with the fact that we've made progress to main zone at the rate that we planned. We did have some minor issues with the vent fan – or issues with a vent fan that slowed us down for a week or so, but we were able to do the grade control drilling, which we're also pleased to sort of confirming what we've been providing for in the reserves, the anticipated material that we'd be mining out of that. So I think we're still getting into the real meat of the main zone. We're still probably a month or so away from that because we've got to do the cross cut and in turn and start developing up the ore body. But come back into February, we'll start to really see some decent tonnages come out of main zone, and then we'll -- hopefully can start to watch that really contribute in the final quarter of the year.
David Coates: Okay. So when – will we sort of see more – or the ounces dominated by stoking production tonnes sort of towards the end of the year, end of FY '21?
Jim Beyer: Yes. I'm expecting stoping really out of the main zone to be a contributor in the June quarter. We might get -- I'm anticipating that this quarter, the main zone will probably get more contribution from development than we will from stoping just because you've got to drive through, set up a vent, get everything working. But the expectation is we'll be -- at least get getting more contribution from stoping from main zone in that June quarter. Of course, we're still working in the south, even though that's a lower-grade area. Just our knowledge of the ore body our procedures and our protocols there and the experience that we're bringing to bear on that now. We've got some -- a really good team up there at Rosemont Underground these days and they're really getting their heads around. This is a new mine. This -- the Rosemont Underground, it's – the nature of its deposit is, it's narrow. It's high grade. We drilled it primarily with RC. It's just taking us a while to get good quality understanding of it. And we're working our way up that learning curve, and we'll see that contribution continue to lift over the coming months. The interesting thing, I would say, is that when you look at – and we've obviously done some very careful work when I look -- when we've looked at Garden Well South, the Garden Well South approval, and making sure that we understand and how can we get further up that curve, so we don't spend as much time learning about the ore body as we've done with Rosemont because, ultimately, as I think it was said in the early days, it was like a pseudo exploration. We needed to get down there and drill it out to really understand it. Garden Well is different geology. It's not high-grade narrow vein. It's more disseminated. It's – in many respects, it's more forgiving from a mining point of view. So we're looking forward to getting down there. And I'm sure, we'll still have some learning to do there, but it won't be quite as complex from that ore body modeling perspective as Rosemont has proved to be in its early life.
David Coates: Great. Thanks very much, Jim.
Jim Beyer: Thanks David.
Operator: Thank you. Your next question comes from Daniel Morgan from UBS. Please go ahead.
Daniel Morgan: Hi Jim and team. A couple of questions here. So, just looking at Ben Hur, some interesting results you published today. Just wondering how you're thinking about that vis-à-vis is it -- is the ore body more complex than perhaps you thought, or is the historical drilling prior to you taking over the deposit, is that more shallow than what you've done this quarter?
Jim Beyer: I don't think it's more complex than we thought. It's what we thought, but it's -- and more in simple description. We have been drilling out within the known resource, which is what we bought. And the drilling in there is proving up and consistent with what we had anticipated it would be. What we have been able to do is do some deeper drilling and also some more drilling along strike and outside the resource Shell. And that has proved and is proving that -- proving to be telling us that the existing resource is not the limit. So, we're very encouraged by that. It's certainly not because we see that there's more complexity there. We're just seeing that we're pushing the holes deeper. We're wanting to see what there might be below and along strike. So, we -- and pleasingly, in some of the places that we're drilling, we're actually finding material.
Daniel Morgan: Super. And the Rosemont Underground, just wondering if you could expand a little bit on sort of the tonnage expectation you're expecting to pull for the balance of the year and maybe where do you see the grade improving by the end of the fiscal year?
Jim Beyer: Okay. Yes. Hello?
Daniel Morgan: Hello?
Jim Beyer: Yes. Sorry, we just had some beeps coming through line. We're getting cut off and on. Look, the overall, I think the -- yes, we're anticipating that Rosemont would produce at a nominal rate of around about half a million tonnes a year. We'll see some movement there. We are expecting the stoping production will increase. I don't have -- I'm not giving the specifics of how many times we're anticipating to come in there. But the reality is that a lot of the step-up that we are anticipating in our production for the rest of this year, there's probably two areas where we're really seeing that. We're anticipating that's going to come from. We're anticipating we'll see significantly more ounces. I think last quarter, we got just a bit under 9,000 ounces coming from the underground and we're obviously anticipating that, that will be quite a bit more over the coming quarters. But we're also seeing some additional contribution from things like Baneygo and how we've updated the way that we run Baneygo. And I'm also anticipating that Rosemont open mine will probably reach -- will -- its low-grade dip that it went through in the prior quarter, we'll see some improvement.
Daniel Morgan: Okay. And just lastly, costs and cost guidance. I mean I've been hearing elsewhere from contacts, and companies have been publicly saying that costs in WA are lifting because of, in part, the border restrictions, which is -- meaning that the -- you can't get in people from the eastern states even if you wanted to. Just wondering, if you could talk about the costs that you're seeing, cost inflation you're seeing. And also, your cost guidance, you haven't shifted it today, but it is 1,230 to 1,300, and we've -- we're halfway through the year, and you've been publishing above that today. Just wondering if you could talk to both those elements?
Jim Beyer: Yeah. I'll touch -- I'll do the last one first. Why are we still confident in our cost guidance? Well, part of that is that you can see the impact of increasing gold production has on pulling down our costs. So quite frankly, in part, on the basis that we believe we -- our gold -- our rate of gold production will continue to lift. We anticipate that to flow through into lower unit costs. So that's why we're confident still at this point to hold firm on that guidance range. We've got -- we will, probably in about a month's time, we'll be putting out our half year results. If we did have any -- that's another opportunity if we did see a time to update on that guidance. I'm not saying that because I think we will. I'm just -- we've got some opportunities to continue to keep the market informed as to how things are traveling. Now the other question you asked around cost was the pressure within the state. Yes, look, I think there is. And that pressure is around -- is labor, definitely. What we're seeing, we are seeing a bit of a turnover. We've seen that lift coming out of Christmas, which is not unusual. It's not an unusual time to see our turnover start to lift. Some areas we're seeing, it's actually -- it takes a little bit of time, but we can recruit people. But there are other areas certainly on the technical front where things are getting a little bit more challenging. I think the grind of a year of COVID travel restrictions is really starting to have an impact on people's availability. We had a few -- probably about three, four months ago, we had a couple of people adjust. You could see life is just getting pretty hard for them on a personal point, and so they had -- they left. They were running very long rosters. And I can understand that. On one hand, the business, you're disappointed, but from a personal point of view, there are some people that it is hard. And yes, while the borders are as restricted, it just makes it difficult for large numbers of people to be moving around the country. So are we seeing that potentially putting pressure on costs? It certainly has that potential, and we continue to monitor that. I would certainly concur with what the other messages are. It's sort of -- it's just still trying to get a bit of a feel as to what that -- what the quantum of that, it's hard to say at the moment.
Daniel Morgan: Okay. Thank you very much for your answers.
Jim Beyer: Thanks, Dan.
Operator: Thank you. [Operator Instructions] There are no further questions at this time. I would now like to hand back to Mr. Beyer for closing remarks.
Jim Beyer: Thanks, Melanie. Thank you everybody for joining us. As always, if you've got any other questions or any follow-ups, please drop us a note, and we'll do our best to help you out. In the meantime, enjoy the rest of your day, and stay safe. Thank you.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.